Ulla Paajanen-Sainio: Good afternoon, everyone, and welcome to Stora Enso Q1 2018 Conference Call. And I will hand it over now to our CEO, Karl-Henrik Sundström. Karl, please go ahead.
Karl-Henrik Sundström: Thank you, Ulla. And let us start with the first slide. And this is, as you know, a result that has been preannounced already the 13th of April when we went out with the pre-announcement. However, we will now go through some of the details which were not in the preannouncement. So first of all, it is a very good start and a very promising start of this year. So sales are up 3.3%. And if you exclude the divested Puumerkki, it’s actually a growth of 4.5%. This is the sixth consecutive quarter with top line growth. And we came in with an operating EBIT of EUR369 million, which is an increase by amazing 72% compared to the same period last year. EBIT margin was 14.3%, that is the highest quarter since 2001, where the strong operational performance and the profit improvement program that we announced in conjunction with Q4 announcement in 2017 is actually improved and is going into execution and is basically concluded. But now the savings will get to EUR70 million compared to the previously announced EUR60 million. EPS came in stronger. Cash flow was stronger than last year. And the balance sheet has continued to strengthen. So net debt-to-EBITDA is now 1.3 versus 1.9 a year ago. Operational – return on capital employed for the third quarter in a row at 17.7%. We have been above 13% for three quarters in a row, but this is the highest return on capital employed in a single quarter since 2000. The wood situation in the Nordics, tight but managed after the mild winter and the extraordinary snowfall in the middle of Sweden. So if we then go into the next slide, and this is just the bigger picture of what later on Seppo will talk about, is about what happened in the first quarter compared to the year-ago quarter. So first of all, we had a record EBIT in Consumer Board, driven by growth and strong operational performance. We have the fourth consecutive quarter on record sales and EBIT in Packaging Solutions. We had all-time high result in Biomaterials despite some headwinds, and I will come back to that later on. We have the highest first quarter for Wood Products, and we have the highest EBIT margin in 10 years for paper. So as you can see in the graph there, especially in the improvement areas of Consumer Board, basically, one-thirds is coming from European mills, two-thirds is coming from Beihai. And in Packaging Solution, about slightly more than EUR20 million is coming from Varkaus kraftliner as well as China Packaging, and the rest coming from our testliner as well as strong performance in the core units. When it comes to the Biomaterials, which is improving by 93%, and we said here it’s getting some headwinds. And the headwinds there are basically coming from we’ll be running the pulp mills on a slightly lower capacity for the Nordic mills due to the tight wood situation, basically, holding back about 30,000 tonnes of pulp production. And we also, for the Latin American mills, had some issues with shipping dates, which is about 20,000. And then coming back to the very positive development in paper, over 64% improvement compared to a year ago. With that, I just want to highlight some of the important transformation steps that has been concluded in the first quarter of 2018. So Baienfurt sheeting center in Germany has been sold. The Heinola corrugated plant has been shut down. And we have also made a deal of selling of Río Grande do Sul plantation. We believe that the transaction will be concluded during Q2. When it comes to new investments, as part of the consolidation of the corrugated business in Finland, we have opened up the new corru, new and expanded corru unit in Lahti. The Skutskär environmental performance improvement investment is concluded, and we have started production in Hylte biocomposite. And Seppo will mention some more about that when he comes to that part. So then before handing over to Seppo, I just want to continue to raise the importance of our transformation. As you can see in the results, improvement year-over-year means that the focus we have done in our investments and also the focus in our new product development is paying off with substantially accelerated profitable growth. We are today having 70% of the sales coming from the four growth divisions and over 80% of the profit. With that, I would like to hand over to Seppo.
Seppo Parvi: Thank you, Karl. And I start by looking at some of the key figures for the quarter we are reporting today. So first of all, sales line, top line up 3.3% year-on-year [indiscernible] another quarter of growth. And operational EBIT up 72%, so we are not only growing, but we’re also improving profitability at the same time, so profitable growth continues. Operational EBIT margin at record high level of 14.3%, and earnings per share up to EUR0.35 a share from EUR0.14 a share, per share a year ago. Operational return on capital employed at 17.7%, clearly above the targeted 13% level. While cash flow from operations continues to improve at EUR229 million, we also reduced net debt by almost EUR0.5 billion compared to year ago. And that reduced net debt to last 12 months operational EBITDA to 1.3. It was 1.9 a year ago. Moving then to our divisions, and I start with Consumer Board, where record operational EBIT was recorded. It was driven by strong growth and improved operational efficiency. Sales were up 6% and reached all-time high of EUR646 million. Operational EBIT was up 49% to record high quarter one of EUR91 million. This is driven by Beihai Mill ramp-up that continues successfully and strong operational performance increasing the volumes at our European mills. Operational return on capital improved to 18.5%, still slightly below the strategic target, but clear improvement compared to a year ago. Our Baienfurt sheeting center divestment was completed in January, as announced earlier. And next comes Packaging Solutions division, where another record quarter is reported. It was actually the fourth consecutive quarter with record high sales and profitability. And sales increased 15% to record high Q1 of EUR333 million. Thanks to favorable pricing environment as well as continued growth in our China Packaging unit. Also, operational EBIT reached all-time high level of EUR61 million. That’s an increase of 154% year-on-year. And operational return on capital at record high 27.7% compared to 11.1% a year ago. We finalized consolidation of corrugated packaging manufacturing in Finland and have created now a Center of Excellence in Lahti. In connection to this project, we are – now also permanently closed our corrugated plant in Heinola, but we continue growth in manufacturing there as earlier. Then moving to our Biomaterials division, where we are also reporting all-time high results, despite the headwinds relating to wood sources situation in the Nordic countries, Finland and Sweden, as there are some negative foreign exchange impact, mainly coming from U.S. dollar. Sales are up 7% and operational EBIT, 93%, reaching all-time high of EUR102 million. Operational return on capital, also clearly above the targeted 15% level at 17.6%. We also completed during the quarter our environmental performance investment of EUR16 million at the Skutskär Mill. I’m very proud also to tell about the innovation award we have received for Lineo by Stora Enso, our lignin product that is a renewable replacement for oil-based phenolic materials. Next, looking at the Wood Products, where record-high first quarter is reported. Their sales increased 4%, excluding the divested Puumerkki and the Baltic wood supply operations. Operational EBIT was up 32% to record high first quarter reported result of EUR29 million and highest since 2007. At the Varkaus Mill, LVL production ramp-up continues, and we have now reached EBITDA breakeven there. And ramp-up is expected to be completed in mid-2018. In Sweden, we are proceeding as planed with the CLT investment in Gruvön, and this investment is scheduled to begin production during the first quarter next year. We have also started production of biocomposite granules at our Hylte Mill in Sweden, and commercialization is in process with several customers already. Then moving to paper division, where we are reporting highest first quarter EBIT margin in 10 years. Sales increased 3% to EUR772 million, and operational EBIT increased 64% to EUR69 million. Therefore, the investing activities to sales ratio was 6.2%, thanks to increasing profitability and continued good working capital management. It’s slightly below the targeted 7% level, but not far away. Then, I will review the strategic targets, where we can also see good progress. And as you can see, a lot of the traffic lights are turning to green and yellow. The red dot is on fixed costs to sales, where the targeted level is 20%. Positive thing here is that we are now moving to the right direction from 25% level where we have been earlier, and now we are reporting 22.6%. That is the same impact, improvement compared to a year ago when we were at 24.1%. Debt ratio is clearly below the strategic maximum levels, and operational return on capital, as I mentioned earlier, at 17.7% compared to targeted 13%. Looking at the divisions. Consumer Board, slightly below the 20% targeted level at 18.5%. And Packaging Solutions, clearly above the targeted 20%, and a great improvement compared to 11% level a year ago, so now at 27.7%. Also, Biomaterials division is now clearly above the targeted 15% level at 17.6%. Also there, significant improvement compared to a year ago when we were slightly below 8%. Wood Products continued solid steady performance, a return on capital above 20% strategic target level. And paper at 6.2% cash flow after investing activities to sales ratio, slightly below the 7% targeted level. With that, I hand it back to you, Karl.
Karl-Henrik Sundström: Thank you very much, Seppo. So regarding the guidance for the second quarter of 2018. So sales are estimated to be similar or – similar to or slightly higher than the amount of EUR2,579,000,000 recorded in the first quarter of 2018. Operational EBIT is expected to be in line with or somewhat lower than the EUR369 million recorded in the first quarter of 2018. The impact of annual maintenance shutdown is expected to be approximately EUR40 million higher than in the first quarter of 2018. Nordic wood supply situation, expected to continue to be tight. Impacts are expected to be at the same level or lower than in the first quarter, which it was approximately EUR10 million as we state in the report. These impacts are included in the above guidance. And as you can see, in the second quarter, it’s a number of annual maintenance shutdown; Beihai, Heinola, Varkaus, Enocell and Oulu. Before going into the Q&A session, I just want to repeat some of the highlights. It is about accelerated profitable growth. Sales growth, five consecutive quarters; a strong improvement in EBIT margin; and prices and mix optimization, combined with continued successful ramp-up of our strategic investments, supported by improved and strong operational performance is part of the reason that we are getting to this level. We had a record high return on capital employed of 17.7%, the highest since year 2000. Balance sheet continues to strengthen, where we are having a net debt-to-EBITDA of 1.3, an improvement by 0.6 versus the year-ago period. And we actually repaid in the rolling 12 months EUR485 million of net debt. This is a clear indication that we are moving from asset transformation to innovation and sales transformation. Before going into the Q&A, I would like to remind you and welcome you to participate in our Capital Markets Day here in Helsinki, the 7th of November. With that, I hand over to Ulla to take care of the Q&A.
Ulla Paajanen-Sainio: Okay. Thank you, Karl. So operator, please help us to start with the Q&A.
Operator: Certainly, thank you. [Operator Instructions] We will take now our first question from Mikael Jafs from Kepler Cheuvreux. Please go ahead.
Mikael Jafs: Yes. Hello, good afternoon, everybody. Congratulations to a very good result first of all. Then secondly, I have two questions. One is around Packaging Solution, or the first one. Could you please elaborate a little bit on how you see this development, where we can see that paper for recycling, prices are coming down quite substantially? Is there a risk there for the testliner pricing, and could it spread to kraftliner? Or is the market simply so strong with good demand? That would be the first question. And then the second one would be around wood pricing in Scandinavia. Some of your competitors have been telling us that they see wood prices starting to move up in especially Sweden. Do you see that situation also in Finland? Those are my two questions.
Karl-Henrik Sundström: So first of all, if I look upon into the kraftliner, so we see both improving demand year-over-year when it comes to kraftliner and testliner or RCP-based containerboard. And we also see prices at the moment going to next quarter to be slightly higher. Over time, it will be an impact if RCP containerboard are falling down, and those – both come down in price. It could affect. But remember, there is very limited supply of kraftliner. And the end users are basically totally different, has to do a lot more with food and it’s global products. While RCP-based testliner board are more of a regional. They travel about 1,000 kilometers. And when it comes to the wood prices, yes, it’s been a bit of a price increase, but we have seen that falling a bit. Can you hear me, Mikael?
Mikael Jafs: Yes, yes. I can hear you.
Karl-Henrik Sundström: Because there was some static. So when it comes to wood prices in Sweden, yes, there is some pressure upwards. But you have to remember that the issue in the first quarter in Sweden, which are margin affected the prices was that there was so much snow, especially where we have our wood supply, the middle of Sweden. There was not a lot – enough with transportation. We had wood, so that was the difference. In Finland, it was opposite. It was a very, very wet winter or a mild winter. And here, we’ve also seen a pressure on prices. But we are talking a couple of percentage points. But that also affected a little bit. And we see this tight wood situation going into Q2 as well. And the effect we have in the first quarter was around EUR10 million. And we believe it’s EUR10 million again, and that’s included in our guidance. Of course, it’s going to take some time.
Mikael Jafs: Yes, many thanks.
Karl-Henrik Sundström: Thank you for the congratulations.
Operator: Thank you very much. Ladies and gentlemen, we’ll take now our next question from Lars Kjellberg from Crédit Suisse. Please go ahead.
Lars Kjellberg: Thank you. I just want to come back to the variance versus your original guidance for the quarter that we just got out of. I mean, you had a – you clearly exceeded that guidance. I just wanted to check with you what variables can, and appreciably better than you had expected, drive that EUR369 million operating profit?
Seppo Parvi: Yes. Thank you, Lars. It’s Seppo here. I recall that you were a bit skeptical on our guidance. We can say that we were happy that we were wrong. If I can say so. But looking at the difference, roughly half is coming from the more positive pricing environment in paper, Packaging Solutions compared to what we expected. Another positive thing was that the mills were operationally running very well. So operational efficiencies were clearly better. That’s roughly one-thirds of the difference. But the rest is still coming from somewhat higher volumes, especially Consumer Board businesses in Europe.
Karl-Henrik Sundström: So to be very frank, Lars, as we’re saying it, we were – obviously, we underestimated the pricing dynamics, and especially for paper. I worked with paper for a long time, and it’s been a very unique quarter. And we managed that extremely well, because you probably read the situation in China and the impact pretty fast. So we were fast on the board with the price increases, and they came in better than I anticipated. And then, when you run a maintenance for a quarter, you usually get good operational performance, but not this good, because – so we were a bit nervous, there was a lot moving – it’s, especially in the packaging mills, the [indiscernible] to get just 0.5 percentage or 1 percentage point higher overall equipment efficiency is huge. So that was the effect.
Lars Kjellberg: Understood. So with that said, can you sustain this sort of efficiency? Of course, now you’re going into maintenance periods. So how should we think about that efficiency ratio going forward? I mean, this was of course a very good quarter in all aspects, right? But what sort of impact do you see as you enter – you could essentially have maintenance the balance of the year every quarter. So is this as good as it gets from an efficiency standpoint? But then, of course, there are other potential drivers, such as price and whatnot happens, that can shift the numbers, right? But in terms of efficiency, is this as good as it gets?
Karl-Henrik Sundström: So obviously, in our guidance, we are indicating given – I’ve also given the number of EUR40 million in impacts on the maintenance in the second quarter. And also, because when we talk about these annual shutdowns, it’s pulp mills. And starting up the pulp mill after having a shutdown is always a bit of a risk, and that we know. So that is a risk that it could be more. And hopefully, we are getting better. Then, if you look on the pricing side, I would say, basically, most prices are either stable or slightly higher, with the exception of – if I – and everything is stable or slightly higher, so that’s a positive. And then we have said that it’s a tight wood situation, and we are harvesting and trying to refill. We don’t really know how well this thing will be. That’s a negative. So we think it’s going to be like the first quarter. So now you understand the ups and downs.
Lars Kjellberg: For sure. Just two more questions, if I may. Rio Grande do Sul divestiture, what sort of value do you expect to capture there? And also, if you can comment a bit on the Chinese market situation because what we can read from the outside from the likes of RISI is that most think there seems to be very quiet and slow demand in China. And what we hear from companies active in China is the opposite. So it’s going to be interesting to hear your take on what is actually going on in China.
Karl-Henrik Sundström: So when it comes to the Río Grande do Sul, it’s a cash consideration, EUR33 million. We are selling it basically at the book value. But in that, when we sell it, we have to back out what is called cumulative translation effects. So what will be shown, it’s a loss of EUR25 million. But this is an asset that we have not been able to utilize. It’s in an area where we had no investments alternatives, so this is part of what we call cleaning out and getting – to get a more focused asset structure. And when it comes to China, is that it seems like the rules that were basically implemented as of the 1st of March this year, they’re sticking to it, because we have various reports of very deep inspections in China on the purity of the imported recycled paper. And there’s been a number of – according to our understanding, a number of rejects. And what we see there on the demand side is that some production will cease, especially smaller mills. But the demand for high-quality version folding boxboard or more advanced boards like – they continue to grow. That’s what we see.
Lars Kjellberg: So you’re not seeing the demand weakness at all in sort of the ivory boards? No?
Karl-Henrik Sundström: So not in the areas that we are addressing.
Lars Kjellberg: Understood. Very good. Thank you.
Karl-Henrik Sundström: Thank you, Lars.
Operator: Thank you. Ladies and gentlemen, we now move on and take our next question from Robin Santavirta from Carnegie.
Robin Santavirta: Thank you. Regarding the new board machine in Beihai, obviously, you said that you reached EBITDA breakeven in Q4 last year. Could you comment on the financial performance now in Q1? And when do you expect that machine to reach EBIT breakeven?
Karl-Henrik Sundström: So as we said in conjunction with the Q4, we wanted to tell you when we reached a EBITDA breakeven. Now as part of the optimization of the product portfolio, we are not disclosing, as you can see, separate profitability or income statement of that mix. But the mill is proceeding according to plan and it’s ramping up, and it’s qualifying more and more high-quality boards, and it’s according to that. And as you can see, reaching 18.5% on Consumer Board on return on capital employed tells everybody that we are going in the right direction. I will not disclose, because it’s now important to deal with product portfolio. We are exporting from Beihai Mill to Europe at the moment.
Robin Santavirta: I understand. Regarding plantation then in Beihai or in the region, Guangxi, what will you do with those? And what – are they contributing positively on the bottom line for the group at the moment or negatively?
Karl-Henrik Sundström: So we are in a process – as a consequence, of the negotiations we’re having, that we’re in a process of returning certain lands, because if we – as we have said, we will not build the pulp mill. We need plantation all enough to secure for the CTMP pulp mill. And obviously, you don’t get returns over 20% of the plantation in isolation. So they are not contributing to the targeted level of Consumer Board. On there, they are a drag.
Seppo Parvi: But we continue to have containerboards with the local markets, and that is, of course, healthy cash flow.
Robin Santavirta: Okay, good. And then, finally, in terms of the Biomaterials division, you mentioned you lost some volumes due to the Nordic harvesting problem. You also mentioned something about Latin America, so I assume Veracel and Montes del Plata. What is going on there? And is that sort of problem something that you carry with you for the future quarters?
Karl-Henrik Sundström: So they have different problems. The 30,000 tonnes that we took an active decision to run the mills slightly lower in order to not have the risk of running out of wood. It was very tight. But the 20,000 tonnes is actually that we couldn’t do revenue recognition because of delayed shipments out of the ports.
Seppo Parvi: So it’s basically something where demand is – it’s a starting issue.
Karl-Henrik Sundström: Yes. Yes. I hope that was clear.
Robin Santavirta: Yes, very clear. Can you also comment on – you mentioned I think in Q4 that you had some weak pricing contracts in the Biomaterials division, and that was not a part of some contracts that you had made for a moment there. And what is the situation related to that now at this point?
Karl-Henrik Sundström: We still have some of that left, but they are diminishing over time.
Seppo Parvi: So significantly less, and I think you can also see the profitability development of the division.
Karl-Henrik Sundström: So we have some long-term contracts on fixed prices that looks to be good at a certain point in time, and then we – most of them, we are out of. We still have some left, but it’s in a totally different dimension.
Robin Santavirta: All right, that’s clear. Thank you.
Operator: Thank you very much. [Operator Instructions] Now we move on and take a question from Kevin Hellegård from Goldman Sachs.
Kevin Hellegård: Hi, guys, good afternoon. I was just wondering if you could first talk a little bit about the paper markets. Prices have obviously been going up, which we can also see in these 1Q results. Do you still think there’s further margin expansion to come from the price-cost spreads, like ignoring maintenance cost impacts into the second quarter and third quarter? Or have you achieved everything in the first quarter?
Karl-Henrik Sundström: No, I would say that, if I’m getting you right, we have a big maintenance in paper for the second quarter, and that all remains. That’s a big machine, or two big machines, actually, and a pulp mill. And we see pricing for paper actually stable going into the next quarter. And…
Kevin Hellegård: Okay, okay. No, I was just trying to see – I understand the maintenance impact. I was just trying to say, ignoring that, would you then still see price – but you see prices more stable quarter-on-quarter?
Karl-Henrik Sundström: Because a lot of the contracts that we have now signed up there are more than a quarter, half year.
Kevin Hellegård: Yes. No, I was just trying to understand if you have achieved everything in 1Q, or it was coming with a lag?
Karl-Henrik Sundström: But you have to understand what has happened in the market. There’s been quite a lot of closures, plus that also recycled paper could not be used in a lot of the grades in China, which means that a lot of volumes have been actually going to China. So Europe is exporting quite a bit, and that’s keeping the [indiscernible]
Kevin Hellegård: Yes, yes, I know, exactly, and that was why I was trying to understand if there’s more positive momentum in paper prices.
Karl-Henrik Sundström: So we think unstable. But obviously, everybody’s working on it. And some – we have got a number of improvements coming in that some big newspapers and printers has actually less paper than they wanted because they thought it’s going to be like usual, and things – the dynamic has changed, and I believe that we will probably see demand decline continuing. But not – maybe not pretty sure.
Kevin Hellegård: Okay, excellent. Could you give a rough split of the maintenance costs between divisions on a quarter-on-quarter basis?
Karl-Henrik Sundström: We don’t – we give a totality. We don’t give the split. But if you look, Beihai is a fairly big mill, but then it’s a CTMP and not a chemical pulp mill. Heinola and Varkaus, they are chemical pulp mills, so that will affect obviously the Packaging Solution. Enocell is dissolving pulp, and obviously will have an impact. And then Oulu Mill is a big mill. So I think if you – and then you should know about the impact also of lost revenues included.
Kevin Hellegård: Yes – no, okay. And then lastly on FX, can you give a rough split of – because, obviously, you haven’t seen the full impact yet because of hedges, but how much of the dollar move versus the euro would you say is already in your 1Q results?
Seppo Parvi: Well, if you look at the foreign exchange effects in Q1, we had talked about EUR14 million FX negative, mainly coming from the dollar.
Karl-Henrik Sundström: 1-4.
Seppo Parvi: We got some positive coming from Swedish crown offsetting the dollar FX.
Kevin Hellegård: Yes, but assuming all FX stay at spot, will that negative effect increase or decrease over the year as hedges…
Seppo Parvi: Well, for the full year, we see – full year, the FX basically will be around some EUR17 million, assuming that the rates remain where they are.
Kevin Hellegård: Okay, thank you very much.
Operator: Thank you very much. Ladies and gentlemen, we now take a question from Antti Koskivuori from Danske Bank.
Antti Koskivuori: Yes, hi. Two questions from me. Firstly, still on paper prices, you mentioned that Q2 will be stable compared to Q1. However, a little bit on a broader perspective, because there seems to be some attempts to raise prices going this summer. Do you share the view that there is still room to increase prices in Europe in graphic paper? That would be the first question. And secondly, if you could discuss a bit about the cost situation outside of the wood cost. What do you see? Is there something that we should be aware of going into Q2, Q3 now?
Karl-Henrik Sundström: I think there are some possibility for graphic papers, yes. Let’s see how that plays out and how fast it can be implemented. But – so that, I agree, could be. When I said paper stable, that’s for the whole and with many grades in it. So I agree with that. But it’s going to be minor possibilities.
Antti Koskivuori: Yes. Do you care to comment about the different grades?
Karl-Henrik Sundström: No. I always take paper as a whole. And you have to understand, we are working, and we have been working, for every year, every quarter, every month trying to raise prices. Now – so we knew how to try, and we managed to do it in certain grades for the first time in 15 years. So we are working on it. But I don’t want to go into – I think, that’s why, in general, we said paper are stable. Then when it comes to the cost, you remember in conjunction of the Q – when we published Q4 for 2016, we actually announced a cost reduction program, which now it’s actually been extended to EUR70 million and is basically implemented. That was the reason that we needed to keep costs under control, leading the way, we felt that 2017 was going to be a good year. So we think we have actually conducted the – in what you cud call the cost increases. I don’t want to talk about inflation because every cost is specific and costs should go down. So I think that we have seen a slight – and we have counted on something on wood costs. But on top of that, there could be some movements in logistics costs and on chemicals. But we need to combat that quite hard.
Seppo Parvi: And to also to increase our offset by recycled paper prices coming down. So that, we also need to remember.
Antti Koskivuori: All right, thank you very much.
Operator: Thank you, ladies and gentlemen. And now we take the next question from Gustaf Hansson from Pareto Securities.
Gustaf Hansson: Good afternoon. Two questions from my side. First of all, your EUR10 million negative effect that you guided due to the wood situation in Q2. Do you want to give us any clarification on which segment you think that will affect mostly? Will we see, well, some lower volumes in Biomaterials again?
Karl-Henrik Sundström: It will be across all, but the biggest one will be in Biomaterials, and maybe in the pulp mills for consumer board. So what we mean is that we drive down the pulp mill, but making sure that we have full capacity on the board. But on excess pulp, we might hold down a bit.
Gustaf Hansson: Okay, very clear. And then, secondly, just a clarification on your Q2 guidance for operational EBIT. Should we see it as anywhere between plus 10% to minus 25% versus Q1?
Seppo Parvi: Yes, that’s correct.
Gustaf Hansson: Okay. Perfect. Very clear. Thank you.
Operator: Thank you. And now our next question will come from Constantin Wolf from Western Asset Management.
Constantin Wolf: Hello. Thanks for letting me on and congrats on the successful quarter. Just one question from my end on the balance sheet. You talked earlier in the year about potentially tightening the 3x leverage ratio. So curious how your thinking has evolved on that.
Karl-Henrik Sundström: Well, so obviously, our actions is going to continue to tighten, and I like to have something which starts with one. And this is something we’re working on internally. But as you see, you also have to remember we will get 0.16 due to the – if we can continue as directed, we are basically historically taking down, by year, 0.5 to 0.6. So that’s the math. Did you understand what I was saying? Okay.
Constantin Wolf: Yes. Just curious that you haven’t – just interested that you haven’t actually taken the formal 3x ratio down to a different, i.e. lower number on paper. So you still have significant flexibility under that.
Karl-Henrik Sundström: No. We’ve got significant flexibility, but this is something that I was saying we are working on.
Constantin Wolf: Perfect. Thank you.
Operator: Thank you very much. [Operator Instructions] And we now will take a follow-up question from Lars Kjellberg, Crédit Suisse.
Lars Kjellberg: Yes, just a quick one. You have obviously kindly listed all the maintenance activities across the various mills. Could you give us then a sense, you called out EUR40 million for the second quarter, which has effectively come out of a 0 base in Q1. How should we view the maintenance costs in the third and the fourth quarter of the current year? How they can be similar or smaller than Q2?
Karl-Henrik Sundström: I think we have given you the main schedule for the whole year.
Ulla Paajanen-Sainio: For the mills, but not the amounts.
Karl-Henrik Sundström: For the mills, but not the amounts.
Seppo Parvi: But in general, I think the only revision on maintenance – mill under maintenance we have this year is Beihai Mill, the new one. So through that phasing from the last year, for instance, you get a pretty good picture how it will be phasing. The mill results in Q1 and Q2 compared to last year is only a couple of million.
Lars Kjellberg: Of course, but you have some significant board mills of course with attached pulp mills, with Imatra and Skutskär, and those tend to be quite costly, right? So I’m just trying to gauge if there’s going to be any difference in maintenance costs in Q3, Q4 versus the second quarter. That’s kind of what I’m looking for.
Seppo Parvi: Like I said, if you look at the phasing last year, Q3, Q4, that will give you a pretty good picture.
Karl-Henrik Sundström: Yes, it should be. And I agree with you, we have the big – we have the really Imatra Mill and Skutskär coming in, in the second half, and we don’t expect them to be different this year compared to last year.
Lars Kjellberg: Okay. Very good. Thank you.
Operator: As there are no further question at this time, I will hand back to your speakers today for any additional or closing remarks. Thank you.
Ulla Paajanen-Sainio: Okay. Thank you for today’s call. And sorry about the little hiccup with the slides in the beginning, but we were able to sort that out. And I will give this final word to Karl to share with us.
Karl-Henrik Sundström: So first of all, thank you for sharing with us even though most of it was known, but I think you appreciated some finer details in what we consider a very promising start of the new year. Hope to see you soon, and hope to see you all at the Capital Markets Day in person. Thank you very much.
Seppo Parvi: Thank you.
Operator: Thank you very much. Ladies and gentlemen, this will conclude today’s conference call. Thank you for your participation. You may now disconnect.